Operator: Good morning, and welcome to the ODP Corporation's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] At the request of the ODP Corporation, today's call is being recorded. I would like to introduce Tim Perrott, Vice President, Investor Relations and Treasurer. Mr. Perrott, you may now begin.
Timothy J. Perrott: Good morning, and thank you for joining us for the ODP Corporation's Second Quarter 2025 Earnings Conference Call. This is Tim Perrott, and I'm here with Gerry Smith, our CEO. Also joining us on the call today are Max Hood and Adam Haggard, our Co-CFOs. During today's call, Gerry will provide an update on the business, focusing much of his commentary on our results and accomplishments for the second quarter of 2025, including the progress we are making on our strategy and our expansion into higher- growth industry sectors. After Gerry's commentary, Max will then review the company's results for the quarter, including highlights of our divisional performance, followed by Adam, who will highlight our balance sheet and outlook. Following our comments, we will then open up the line for your questions. Before we begin, I need to inform you that certain comments made on this call include forward-looking statements, which are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements reflect the company's current expectations concerning future events and are subject to a number of risks and uncertainties that could cause actual results to differ materially. A detailed discussion of these risks and uncertainties are contained in the company's filings with the U.S. Securities and Exchange Commission. During the call, we will use some non-GAAP financial measures as we describe business performance. The SEC filings as well as the earnings press release, presentation slides that accompany today's comments and reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are all available on our website at investor.theodpcorp.com. Today's call and slide presentation is being simulcast on our website and will be archived there for at least 1 year. I'll now turn the call over to Gerry Smith. Gerry?
Gerry P. Smith: Thank you, Tim, and good morning, everyone. I'd like to start by thanking everyone for joining our call today to review our results and accomplishments for the second quarter of 2025. As always, we appreciate your continued interest and support as we execute our strategy and position ODP for long-term growth. This morning, I'll provide an overview of our improved performance in the quarter and highlight the progress we are making on our overall strategy. As I cover our performance, I want to focus on a few key takeaways that I think reflect our progress and provide context for our results. These key points are shown on Slide 4 of the presentation. To start, our results this quarter clearly demonstrate that we're executing our strategy and making meaningful progress. Our strategy centers on leveraging our supply chain and distribution strengths to accelerate growth in our B2B business, reinforcing our traditional business while expanding into higher-growth areas like hospitality and adjacent markets. At the same time, we remain focused on maximizing value and cash flow from our retail segment. Our Optimize for Growth plan underpins this strategy, directing assets and capital toward higher return B2B opportunities while reducing fixed costs in our business. Second, our progress this quarter is driving meaningful improvement and momentum across the business, surpassing average external expectations by most measures. We've improved year-over-year trends in our B2B business. And in our consumer business, we're driving significantly stronger results. And most importantly, our improved performance is leading to significantly higher adjusted free cash flow, positioning us to further strengthen our balance sheet and liquidity position. And lastly, looking ahead, we expect these positive trends to continue in the second half of the year, driven by additional top line improvement in our B2B distribution business and sustained strength in our retail channel. Let me expand on these points and provide more detail on our performance for the quarter, starting with the Slide 5 of the presentation. Our improved performance this quarter underscores the positive momentum we're building across our business as we remain focused on operational excellence and disciplined execution of our strategy. We delivered stronger revenue trends, trends that improved month-to-month throughout the quarter, resulting in solid adjusted EBITDA and robust growth in adjusted free cash flow, both exceeding expectations. On an adjusted basis, we delivered $47 million in EBITDA and generated $13 million in free cash flow for the second quarter. This strong cash generation is especially notable as we typically see cash outflows in Q2 due to inventory build ahead of the back-to-school season. These impressive results were driven by improved performance in both our B2B and consumer segments. In our B2B distribution segment, we drove stronger revenue traction with comparable revenue trends improving by approximately 200 basis points, both sequentially and year-over-year. This was driven by continued progress in onboarding new business wins and stronger demand from new customers despite the ongoing softness in general enterprise spending. We're particularly excited about our progress with CoreTrust, a group purchasing collective with over 3,500 enterprise members, which we announced last quarter. Onboarding is progressing well, and we expect this, along with other recent wins to further benefit our performance in the second half of the year. Additionally, although still small, our early-stage expansion into the hospitality segment is gaining momentum and beginning to contribute to our results. I'll provide more details on this shortly. Turning to our Retail segment, Office Depot, our team continued to deliver strong results, driving improved top line trends both year- over-year and sequentially. This performance fueled by targeted sales initiatives and operational excellence under our Optimize for Growth plan is translating to strong results and increased free cash flow. While planned store closures impacted total sales, comparable store sales trends improved by 200 basis points versus last year. Additionally, when excluding the impact of an industry-wide e-commerce marketplace program that benefited sales last year but was discontinued in 2025, our comparable sales showed even greater improvement on an apples-to-apples basis. This performance represents a significant turnaround from last year. Our team's execution is creating meaningful value in our consumer business with higher average order volumes, increased loyalty program enrollments and improved performance in key categories like paper. Although it's still early in the back-to-school season, our strong performance has continued through July, giving us stronger confidence in our momentum for the remainder of the year. In our supply chain business, Veyer, we achieved 90% year-over-year revenue growth from third-party customers, and we're expanding our new business pipeline. Operationally, Veyer generated a 32% increase in EBITDA from third-party customers, underscoring the strength of our supply chain capabilities and growing market presence. Veyer remains a key asset supporting our global operations, navigating the evolving tariff environment and enabling effective inventory management, particularly as we expand into the hospitality segment. We're also making progress in optimizing Veyer supply chain assets, working to improve fixed cost and operational efficiency through our Optimize for Growth plan. I'll share more details on these initiatives shortly. Finally, from a cash management perspective, our team continued to execute effectively, optimizing business operations and inventory to maximize cash flow. Cash conversion remained strong, resulting in $13 million in adjusted free cash flow for the quarter, more than double the amount generated in the same period last year. This is particularly impressive given that we typically see a use of cash in most second quarter results given the inventory buildup in advance of the back-to-school season in the third quarter. As we move forward, we are intensifying our focus on inventory management, which we expect will drive further improvements in working capital in future quarters. I want to thank the team for their dedication and disciplined approach to cash management. Now I'd like to provide an update on our progress in the hospitality market. This is shown on Slide 6. We are making significant progress in our entry into the hospitality industry. About 6 months ago, we announced a major strategic partnership with one of the world's largest hotel management organizations becoming a preferred provider for operating supplies and equipment, which includes essential items like towels and linens and amenities like soaps and shampoos and many other products. This agreement marked a major milestone, positioning ODP to enter the $16 billion hospitality segment, a growing market that demands high service capabilities and aligns perfectly with our core strengths in supply chain and distribution. This partnership covers approximately 15,000 members with hotels and related assets, which serve as a strong foundation for future growth in hospitality and adjacent markets. Over the past several months, we've established key supply agreements with leading industry suppliers such as Sobel Westex and Hunter Amenities, ensuring access to premium hospitality products. While inventory build and sourcing took longer than anticipated, we made substantial progress and have improved our position to meet the expected growing demand in the future. We've also recently strengthened our team by adding experienced sales professionals to drive future growth in this segment. The new talent we've added during the quarter brings many years of proven expertise in building successful supply businesses within the hospitality industry. Our team is energized and ready to hit the ground running, and we're excited about the value they will bring as we execute our plans. Also this quarter, we broadened the launch of our OS&E product offering, directly engaging with potential hospitality customers, and we've onboarded about 1,000 new hotel properties under our current partnership. While building momentum takes time, we are encouraged by the strong early response and growing demand that we're beginning to see in the market. While still small, we have seen robust month-over-month growth and importantly, our expanded offering is driving increased interest in our traditional office products among hospitality customers, both existing and new. Initial data indicates a meaningful increase in demand for our traditional products among existing hotel customers following the expansion of our offering to include OS&E hotel products. These early results demonstrate that our broader product assortment is beginning to have a positive impact on overall sales. We're encouraged by early results and the positive industry dynamics. We've added a key sales leader with deep hospitality expertise and are in advanced discussions with over a half a dozen additional large hotel management companies to become their preferred supplier. We expect to sign agreements with 1 or 2 more major hotel management companies this year. Overall, we are very encouraged by our progress and believe hospitality will become a more meaningful contributor to our sales beginning in the second half of the year. And finally, I want to highlight the progress we're making with our Optimize for Growth restructuring plan. This is shown on Slide 7. As a reminder, this initiative is focused on streamlining our fixed cost infrastructure to improve our margin profile while leveraging our core strengths to accelerate growth in our B2B market segments. This includes our expansion into new enterprise verticals such as hospitality as well as in health care and other adjacent sectors in the future. We continue to make meaningful progress this quarter, further optimizing both our retail store operations and supply chain infrastructure to better serve customers and drive greater efficiency. Under the plan, we closed about 2 dozen retail stores and 3 distribution facilities in Q2. While there is more work ahead, we are on pace, and we're confident that these efforts will lead to a more efficient operating model and drive margin improvement in the future. Before I turn it over to Max, I want to thank our team for their dedication to our core business and commitment to operational excellence. We are making solid progress on our strategy, delivering stronger year-over-year revenue trends while driving strong increases in adjusted free cash flow. Based on our performance so far, we expect to maintain this momentum into the second half of the year, assuming a relatively stable tariff environment and no major changes in the broader economy or enterprise market. Regarding the tariff environment, while we are not immune, we believe we are well positioned to adjust and we have taken proactive measures to position ourselves effectively to help mitigate potential impacts as the situation continues to evolve. Supporting our outlook as we enter the second half of the year, we anticipate driving additional top line improvement at ODP Business Solutions while maintaining strong results in our retail channel. We are ahead of expectations on cash generation and now expect adjusted free cash flow to exceed $150 million for the year, further strengthening our balance sheet and liquidity. We remain focused on executing our strategy, driving our core initiatives and delivering value for our shareholders. With that, I will turn it over to Max for a review of our financial results.
Max W. Hood: Thank you, Gerry, and good morning to everyone on the call. I'm Max Hood, Co-CFO. I would like to cover our results for the second quarter on Slide 9. Please note that our results as presented are for continuing operations. We generated total revenue of $1.6 billion for the quarter, an 8% decrease compared to the second quarter of last year. However, this result represents an improvement in year-over-year trends. The decline in overall sales was primarily driven by 60 fewer stores in operation, reduced consumer traffic and lower enterprise sales despite the positive momentum in recent performance. GAAP operating income in the quarter was $9 million compared to $400,000 in the prior year period. Our GAAP results in the quarter included $16 million of charges, primarily related to $13 million of restructuring expenses largely associated with our Optimize for Growth plan. Through this plan, we closed 23 retail store locations, 3 distribution facilities and 1 satellite location. The balance of $3 million was associated with non-cash asset impairments of operating lease right-of-use assets associated with our retail store locations and supply chain facilities. Excluding these charges, adjusted operating income for the second quarter was $25 million compared to $33 million in last year's second quarter. Unallocated corporate expenses were $15 million in Q2. Adjusted EBITDA was $47 million in the quarter compared to $57 million in last year's second quarter. This includes depreciation and amortization expense of $24 million in the second quarters of 2025 and 2024. Excluding the after-tax impact from the items mentioned earlier, adjusted net income from continuing operations for the second quarter was $15 million or $0.51 per diluted share compared to $20 million or $0.56 per diluted share in the prior year period. Now turning to our improved cash flow generation in the quarter. Operating cash flow from continuing operations in the quarter was $16 million, which included $9 million in restructuring spend. This compared to cash used in operating activities of continuing operations of $1 million, including $25 million in restructuring spend in the same period last year. The year-over-year increase in operating cash flow reflects our strengthening business model and disciplined working capital management as we successfully converted inventory investments into cash, as we indicated last quarter. This led to strong cash conversion in the quarter. Capital expenditures were $12 million in the second quarter of 2025 versus $19 million in the prior year period, and we continue to prioritize capital investments towards B2B growth opportunities supporting our supply chain operations, distribution network and digital capabilities. Adjusted free cash flow in the quarter was $13 million, a significant increase as compared to adjusted free cash flow of $5 million generated in the same period last year. This result is especially noteworthy given that we typically experience cash outflows in the second quarter due to inventory build ahead of the back-to-school season. Now turning to our consumer business, Office Depot, as shown on Slide 10. Office Depot delivered another quarter of improving results with year-over-year top line trends improving in the quarter as targeted profitable sales strategies continued to gain traction. Reported sales were $716 million in the quarter, down 10% compared to the prior year. This result represented an improvement in the year-over-year trend we reported in the same period last year. Overall sales were impacted primarily by 60 fewer retail locations in service associated with planned store closures as well as lower traffic and online sales, partially offset by higher average order volumes and the positive impact of targeted sales promotions. In total, we closed 23 retail stores in the quarter and had 834 stores at quarter end. On a comparable store basis, our targeted sales initiatives continue to drive meaningful improvement in comparable store sale metrics. On a same-store basis, sales were down 5% year-over-year, representing approximately a 200 basis point improvement in our same-store comp over last year's second quarter. From an operational standpoint, operating income for the quarter was $12 million. On a percentage of revenue basis, this result was flat with last year. As we move forward, we're continuing to execute on our profitable sales initiatives in our retail business, balancing our pricing and promotion strategy with demand elasticity. We continue to make progress. And as Gerry mentioned, we carried that momentum into the month of July and are closely monitoring our progress as we head into the highly competitive back-to-school season. We're also continuing to execute our Optimize for Growth plan focused on efficiency gains across the organization and help us lower fixed costs. Now turning to ODP Business Solutions, as shown on Slide 11. As Gerry mentioned, we're pleased to report improved top line trends this quarter. Reported revenue was $859 million in Q2, down 6% year-over-year, but representing more than a 200 basis point improvement over recent trends. While enterprise spending remains generally soft, our results benefited from stronger sales traction with new accounts and continued progress in onboarding recent business wins. Additionally, although still early, sales in our hospitality categories grew month-over-month throughout the quarter and began contributing to our overall performance. With our expanded offering, including OS&E products, we are also seeing a meaningful increase in sales of traditional product categories among existing hospitality customers. Overall, sales to hospitality customers rose by a low double-digit percentage. Our pipeline of new business continues to grow, and we are continuing to make progress in converting the recent large new customer wins, representing over $500 million in annual spend when at full run rate. Looking ahead, we remain focused on converting these new customers, strengthening relationships with existing clients and driving growth in hospitality to help offset softer enterprise spending and support continued improvement in the second half of the year. From a product perspective, while most categories were lower year-over-year, we saw slightly improved sales traction in products such as paper and began to see initial demand for our hospitality products. Additionally, adjacency product categories accounted for 45% of total revenue this quarter, up from 43% in Q2 of last year, a key performance indicator for our business. On the operating front, lower revenues and related fixed cost deleveraging resulted in operating income of $18 million in the quarter compared to $29 million in the prior year period. Reducing fixed costs within our supply chain operations remains a top priority as we work to drive future margin improvement. We are encouraged by our improving position for the future as we execute our strategy and expand into new market segments. We expect to continue driving sequential improvements in the second half of the year with greater contribution from the hospitality sector. Now turning to our results in our supply chain business, Veyer, as shown on Slide 12. Veyer's reported top line performance reflected lower sales from its internal customers, ODP Business Solutions and Office Depot, partially offset by revenue growth from third-party customers. Overall, the year-over-year sales trends improved versus the prior year on a total segment basis. Veyer delivered sales of $1.1 billion in the quarter, primarily derived from supporting the purchasing and supply chain operations of ODP Business Solutions and Office Depot, which are eliminated upon consolidation. Veyer continued to make progress in executing its strategy to serve third-party customers, adding new logos to its customer list and driving a strong increase in external revenue. Being mindful that some of Veyer's third-party profitability is accounted for as a contra expense instead of flowing through revenue. For Q2, Veyer delivered third-party revenue of $19 million, up 90% over last year. Veyer drove third-party EBITDA of $5 million, a 32% increase compared to the prior year period. Now I'll turn it over to Adam to cover our balance sheet highlights and outlook.
Adam Haggard: Thank you, Max, and it's great to be here with everyone this morning. I'm Adam Haggard, Co-CFO. Turning to Slide 14. Our balance sheet and liquidity position continued to improve in the quarter, supported by our strong cash generation. Adjusted free cash flow was $13 million in the quarter, a substantial increase compared to last year. The changes we are making to our business model have resulted in our stronger cash generation year-to-date and have helped us pay down approximately $35 million in debt so far this year, further strengthening our balance sheet. In total, we've generated $58 million in adjusted free cash flow, a more than 160% increase compared to the first half of last year. As we move forward, we're also sharpening our focus on inventory management opportunities, which we expect will enhance future cash generation. We believe this strategy positions us to maximize cash flow, further improves our balance sheet and provides a pathway for long-term sustainable growth and value creation. Our balance sheet at quarter end included total liquidity of $658 million, consisting of $177 million in cash and cash equivalents and $481 million in available credit under the fourth amended credit agreement. Total debt was $245 million. Moving on to capital allocation. We continue to execute our capital allocation strategy, primarily investing in our core to drive the future of our business. We invested $12 million in CapEx in the quarter versus $19 million in the prior year period, targeted in our supply chain operations, distribution business and digital capabilities to set ourselves apart in the industry. As we move forward, we expect to prioritize our capital allocation towards investment in our core B2B resources, positioning us to capture the growth opportunities we discussed earlier. We believe investing in our B2B business and expanding into new market segments will drive the highest ROI and create long-term value for shareholders. Now turning to our outlook for 2025, as shown on Slide 15. As we look to the second half of the year, directionally, we are expecting the following dynamics and outlook for our business. First, we expect to drive top line improvements in the second half of the year at ODP Business Solutions as we continue to make progress on customer conversion and drive stronger sales in hospitality. Next, we expect to continue driving strong performance in our retail channel in the second half of the year, helping us support continued strong cash generation. As you heard from Gerry, we continue to see strong results through July in this channel, which give us more confidence heading into the second half of the year. Lastly, we now expect to generate over $115 million in adjusted free cash flow for the full year 2025 as we execute our strategy and continue to focus on working capital management. Our outlook considers a relatively stable macroeconomic environment and minimal additional impact from the evolving tariff environment. As we stated earlier, while we are not immune from the potential impacts Our expansion into higher-growth market segments like hospitality is already showing early positive results, and we anticipate gaining related to the changing tariff structures, we believe we are well positioned with a diverse sourcing structure and flexible operating structure to help limit potential impacts to our business. With that, I will turn the call back over to Gerry.
Gerry P. Smith: Thank you, Adam. Before we open the call for questions, I want to once again thank our team for their dedication to operational excellence and their commitment to building a stronger foundation for profitable growth and long-term value creation for all our stakeholders. To reiterate, we are making excellent progress on our strategy, driving improved performance in both our B2B and consumer by our momentum, and we expect to deliver continued improvements in the second half of the year. additional traction in this area, contributing more meaningfully to our performance in the second half of 2025. Additionally, our improving performance is leading to stronger adjusted free cash flow results which further reinforces our foundation for sustainable growth in 2026 and beyond. With that, operator, we're ready to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Lasser with UBS.
Michael Lasser: Gerry, during your tenure at ODP Corp., you've been aggressive in pursuing strategic alternatives to try and maximize the value to shareholders of ODP. As you stand today, are there alternatives that you're exploring given where your stock price stands and what you see for the future? Or is the focus more so on simply executing the game plan to continue to perform as you anticipate, which is maybe the way that you expect to maximize shareholder value?
Gerry P. Smith: Michael, great to hear from you. My job and the Board's job is always to maximize shareholder value. That's our primary focus as a Board and as the CEO. I will say that I can't comment on any activities or it's not our policy to talk about any rumors or speculation. And so that's my answer to that piece. And I'm super proud of the team of we're executing our strategy. We have a daily operations focus across all our businesses, and we're driving tremendous results. And I think our cash results and our EBITDA results demonstrate that. And so I mean, again, my job is to maximize shareholder value. I'm going to go out and do that. Our team is executing very, very well.
Michael Lasser: Got you. One follow-up is on the expectation that ODP Corp. can generate $115 million of free cash flow this year. There [ are signs ] that the labor market is weakening, so what have you assumed from a macroeconomic standpoint, particularly the labor market within that expectation? And if we do start to see the unemployment rate rise, how would that impact your expectation for free cash flow generation this year?
Gerry P. Smith: Well, obviously, you know us pretty well. Max and Adam as well, we're conservative in our pieces. We've done -- we've made a lot of progress, and we teased it pretty hard in the presentation. We have a daily, weekly focus on inventory. Our merchants, our B2C and B2B teams have done a great job of really looking at our merchant strategies as well as our supply chain teams. And so working with vendors, vendor consolidation, product consolidation, looking at turns, we have line of sight into a lot of cash coming through the business. We're making this a gigantic focus. So we're pretty confident in the $115 million plus. Remember, the plus was there on purpose. And so -- and we're seeing -- honestly, we saw strength in the business in July, especially on the consumer side. And the last 3 or 4 days have been super strong as well. So I mean, barring -- why we put the comment in, barring any changes in the environment, but we think we're performing well in this current economic environment, and we're performing well from a tariff mitigation perspective and super pleased with the momentum we've seen in the last 45 days from a hospitality perspective as well. For example, yesterday was our biggest day ever in the hospitality business. So I want a lot more, and so does [ Jason Troll, ] the President of our B2B business. And we literally have a daily call every day with our hospitality sales leaders. And so we do that on -- Kevin does it with me on the B2C side, and we're doing it on the B2B side, but I want our investors to hear, we're focused on operational excellence. We're focused on daily execution. And we have 100-day plans. We have our top 10 priorities. We're executing extremely well, and we're ready to tackle any environment that's thrown at us. But hey, the $115 million plus is important. It shows the strength of our balance sheet and It shows the ability from a liquidity position to get even stronger. And over time, as we continue to build that, we'll continue to look for growth opportunities with that cash in the future.
Michael Lasser: Okay. Two last questions. One is on the tariff piece, what percentage of your assortment, roughly speaking, is being subject to a tariff? And in response, how much are you going to anticipate taking price up to maintain your margin?
Gerry P. Smith: Yes. So let me take the -- let me give you the structural at the top and let Max and Adam jump in with the details from a tariff perspective. So we started daily tariff forums when it first came out. Our procurement and merchant teams have done an incredible job, Eric Meehan, A.J. and a number of people, Andrew across the board, we've done a great job of mitigating that. A lot of our tariffs actually hit in areas, Michael, where you have a math pricing, which is minimum average pricing where the vendor sets the price. And so what the vendors have done across tech and ink and toner in a number of areas they've already risen, had price increases in that. So the whole market floats up. Now obviously, there could be softening in demand. We haven't seen a lot of that yet. And so a big percentage of our tariffs were there. And we obviously will flow through appropriately where we see tariffs in other areas. But Adam, do you want to jump in first and then Max?
Adam Haggard: Yes. No, Michael, it's Adam. One thing that should be clear when it comes to the tariff environment for us is that we were very focused on bringing in inventory early on in this tariff environment. If we go all the way back to when we were buying ahead for a port strike, which feels like it was 10 years ago now. But last year, at the end of the year, we were starting to get ahead for port strike. We were starting to get ahead for tariffs. We had a really good inventory position and a good cost base that we were really happy about coming into Q2. What allowed us to do with that cost base was be competitive on pricing. So one thing that should be very clear is that there were no real MAP pricing impacts to Q2. We had a stable pricing environment. And so all the trends in our business are organic trends for us. They are not pricing related. So that should be something that everybody takes away from this call. And then to just put a finer point on what Gerry just alluded to is that about 57% of our inventory is either MAP priced or exempt in the tariff environment. So we have a lot of flexibility in this space moving forward, and we feel really comfortable as long as the macro doesn't turn sideways on us, which is the plan at this point.
Michael Lasser: And my last question, I apologize for taking so much time. But my last question is for those who want to invest in ODP Corp. stock, one of the key questions is, at what point does the positive developments of all the top line actions that you've been taking, such as hospitality adjacent categories, all those that you've laid out to offset the decline in core office supplies and other factors such that the top line of the enterprise can return to overall growth. Is that a 2026 outcome potentially?
Gerry P. Smith: Michael, you broke up a bit in the beginning, but I'm going to try to hit it at a high level and let the guys jump in as well. I believe we're tremendously undervalued today. If you look at our balance sheet position, our cash position, our liquidity position, the potential we have in hospitality and the -- what we're -- the execution of our B2C teams, we are a -- from a market cap perspective, at a 2.5x multiple, which is, in my mind, a liquidation multiple, which isn't fair at all, with potential -- the cash position and the momentum we have, we should be, in my opinion, a much stronger multiple going forward. And I think with the potential of hospitality as a growth segment in the future and the cash position we have in the balance sheet, I think we're -- personally I think we're a strong buy, Michael. And I think -- and as a CEO, my job is to maximize shareholder value, and we're going to go keep executing to go out and go do that. But I mean, we have a strong balance sheet position. We have a strong cash position. We just took guidance up on cash, $115 million plus. And so -- and we have a segment we've entered into, we're starting to see a lot of traction on that is a growing market segment. The timing of that, hard to predict. But now is the best time that ever from a value perspective because I have confidence in this business. Guys?
Max W. Hood: Michael, it's Max. Just wanted to add to that. Just a reminder, we expect to see our retail business continue to decline based on the industry, while -- however, that's very stabilized and performing better than we think it is right now. Our focus is on, as Gerry mentioned, a growing industry in hospitality. We've converted over 1,000 properties in just the one contract that we began with. So we're making really good progress. I just want to reiterate that it's a second half story where we really expect to see some momentum. So I would keep watching and focusing on the performance this year in the second half.
Operator: Our next question comes from the line of Greg Burns with Sidoti.
Gregory John Burns: You've given us a lot of detail on the momentum on the hospitality space, but I just wanted to get maybe a little bit more color on where you're at with those larger new deals you've signed in the more traditional office categories on the B2B side. How are those progressing in terms of their onboarding, the pace of onboarding? Are they where you thought they would be? And what kind of momentum are you seeing from those deals in the second quarter and as we move into the third quarter?
Gerry P. Smith: Yes. I mean, obviously, I can't get into a lot of detail because some of that's competitive information. But I will say we're in active conversations and are confident that we will have contracts in place this year with additional parties that are significant to our overall growth plan.
Gregory John Burns: Okay. I was more asking about the ones you've already announced and signed, just where you are in terms of the pace of onboarding, any momentum you're seeing in those?
Gerry P. Smith: For the ones we have, we're optimistic with the momentum. I mean, signing 1,000 properties, we are out, sending our teams out and they're knocking on doors and they're getting wins. And again, we're looking at this every single day. And so the goal is to how do you double that 1,000 to 2,000? How do you go to 2,000 to 4,000.How do you go to 15,000? And all -- so we're pleased with the momentum of the other 2 signings we've had, and those are -- we mentioned CoreTrust, and that's been a very strong relationship for us, and that is growing as well as the other win we announced in November is we're onboarding people on an ongoing basis on all 3 fronts. Adam, anything...
Adam Haggard: Yes. And Greg, it's Adam. Thanks for coming on the call today. One thing that's important to know is that the CoreTrust agreement and some of our other bigger agreements that we've signed have had some impact in Q2, but we really do expect that they'll have a more prominent impact in our business as we move through Q3 and Q4. So last quarter, we did allude to the fact that we were a second half story, and that was in regards to a lot of the contracts that you're referring to. So we expect incredible momentum as we move through the back half of the year with some of those contracts that you're talking about. And we see early signs right now in Q2 that it's starting. And so that gives us hope in what the back half of the year is going to look like from a top line and bottom line perspective.
Gregory John Burns: Okay. Great. The margins on the solutions business were down a little bit sequentially. Is that just some of the newer business coming in at a lower margin and needs to gain a little bit more scale. What was driving that sequential decline in operating margin this quarter?
Gerry P. Smith: Max and Adam, take that.
Max W. Hood: Greg. Yes, it's Max. So related to the margins, overall, just to be clear, on the product margin itself, we've held strong. So we've seen consistent product margin and been able to keep that high. Overall margins, we're still continuing to see while we made good progress in our sales trajectory going to a negative 6% decline in ODP Business Solutions. We still have a deleveraging impact and the impact of our fixed costs on our profit margin. So this comes back to Optimize for Growth, which we launched last quarter. We're making excellent progress. We have some details in the release, but essentially closed a variety of facilities to tighten up our supply chain, and that's going to drive very direct profitability improvements in the Business Solutions.
Gregory John Burns: Okay. And then just lastly, in the -- what are going to be the cash charges this year for restructuring and the Project Core and Optimize for Growth?
Max W. Hood: Cash charges should be roughly around probably about $5 million a quarter.
Operator: Our next question comes from the line of Joe Gomes with NOBLE Capital.
Joseph Anthony Gomes: I just want to start out real big picture. On the Business Solutions side, making some good progress there, the 200 basis point improvement in sales trends. What though do you -- as you sit here today, do you think needs to happen or occur for that segment to get back to positive revenue trends?
Gerry P. Smith: I think it is just continue the executional focus we have. It's -- we are 100% blanket in hospitality. That's a growth market. How do I get -- how does Dave and his team and who is the B2B of our business, drive from 1,000 properties to 2,000 properties to 3,000 properties to 4,000 properties. We're going to go do that. And we're deploying sales teams. We did -- I want to mention that we brought a very experienced leader to run our inside sales team that had 15-plus years of experience in the hospitality provider and did a great job there and has a wealth of information and experience. I think he's going to do a fantastic job for us. I mean Joe, [ Brother ] is running our team for us. And all other sales leaders are -- again, we have a daily hospitality called Dave runs. I participate on it. Adam and Max are on it as well. And so we are laser-focused on driving operational excellence to go off and drive this business. That's where we're going to get the growth from and from CoreTrust and from the other large deal we had in November and any other deals that we'll continue to look for going forward. So it's about operational focus. And I think that we've tripled down on that, and I think we've done that all year, and that's showing in the results in Q1 and Q2.
Adam Haggard: Joe, it's Adam. Can I pull on that thread for a second as well? One thing to note is that our change in trend in the ODP Business Solutions top line is really coming from hospitality and our hospitality contract. So when we see momentum like a 200 basis point change in trend because of this new adventure that we're on, we're going to continue down this path. It's just going to get stronger and stronger as we move throughout time. So when we look at the change in trend there, that has a lot to do with it. It's a material impact. So we're going to continue on that front and executing in that space because we can see the dividends that it's paying back to us. So laser-focused on hospitality and some of these other contracts Gerry just alluded to.
Max W. Hood: And I'll just add one quick point to that, too. What we're noticing is an extra benefit here is that in our traditional space that our sales are growing there as we explore hospitality as well. I mentioned earlier, low double-digit growth in our traditional space. So these are things like pantry, cleaning. So also our traditional space is increasing as a result of our expansion in the hospital.
Gerry P. Smith: So a great way to say it would be they're viewing us as a total solution provider, not just an office products company anymore, but now we can -- one truck can do cleaning a breakroom, it can do snacks, it can do hospitality products. It can do a traditional office products, it can do furniture, it can do tech. And so -- and we've done deals in some of these places in all those categories. So I think it's a really important strategic point you made, Max, that hey, in these pieces, we're seeing -- in these customers, we're seeing growth across our whole portfolio.
Joseph Anthony Gomes: Great. And then one other one for me. So again, you're seeing some improvement over at Office Depot on the retail side. But guesses out there for back-to-school could be down anywhere from the mid to high single-digits. If that were to occur, do you think you can still see improved same-store sales trends at Office Depot? Or are you -- the way you're looking at it, you're not seeing those types of declines that are being forecasted out there?
Gerry P. Smith: Yes, I'll take that. And first, I want to thank Kevin Moffitt and his team. They've done an incredible job in Q1 and Q2. They had an incredible July. This week has been strong as well. And it's really a merchandising strategy shift of offering value across a number of product categories. It's a daily execution by our store teams. Carlos, Chris and Billy do an incredible job of -- and we're operationally looking at every day scorecard in it. But I think that we're early in the flight weeks. This week is a big flight week, and we've had really strong performance Sunday, Monday and Tuesday. And so that's a good indicator that we can continue the strength. I can't predict what's going to happen over the next 3.5, 4 weeks. But we think we're incredibly positioned with the merchandising execution of our merchandising teams, the performance of our store teams and the way we've scorecarded and are managing it every single day at every single store, every single district, every single region. And we're doing the same thing with our key product categories, and it's working. And so I have to applaud that team because they have built tremendous momentum. And I was on the call today at 8:30 before this call and another great day. So thank you, team, for doing that, and we're going to try to continue to do it every day. But I hope that all our call listeners are hearing strategy is working, operational excellence is working, daily focus is working. And I have strong hopes for the B2C team this quarter. Guys, anything else to add?
Adam Haggard: I think you summed it up well. The only thing I would add to that is that coming into this first beginning of the flight weeks that Gerry was alluding to, we're seeing nice momentum. And usually, that's a good sign for things to come. We don't know exactly how things will pan out, of course, throughout the remainder of the quarter. But it's early signs, good July, early signs to the first couple of flight weeks that are here. So we're encouraged by what we're seeing early on here in the beginning of back-to-school.
Operator: That concludes the Q&A session for today. I will now turn the call back over to the ODP Corporation's CEO, Gerry Smith, for any closing remarks.
Gerry P. Smith: Yes. I just want to thank everyone for joining the call today. I want to just reiterate that I'm really proud of this team and I want to thank my leadership team, my senior leadership team, all the employees of the company and our partners as well. We're demonstrating strong strategy execution. We're demonstrating operational excellence. We have very focused prioritized plans on how we run the business every single day. And I think that's yielding -- we had great results in Q1 and Q2. Very pleased with the cash forecast increase across the business. A lot of us have faith and we're turning to that every day across this business as well and look forward to being -- thank you for joining the call today, and we look forward to continuing to drive and maximize shareholder value. While others will keep praying for success. Thank you very much.
Operator: Thank you for your participation. This concludes today's call. You may now disconnect.